Operator: Good morning and welcome to the INDUS Realty Trust’s 2022 Second Quarter Earnings Conference Call. This call will be followed by a question-and-answer session. [Operator Instructions] It is now my pleasure to turn the program over to Ashley Pizzo, Vice President of Capital Markets and Investor Relations at INDUS.
Ashley Pizzo: Thank you, and good morning everyone. Welcome to our 2022 Second Quarter Earnings Call. In addition to regularly available earnings materials INDUS has also published a supplemental presentation, which is available on its website at www.indusrt.com under the Investors tab. This conference call will contain forward-looking statements under federal securities laws, including statements regarding future financial results. These statements are based on current expectations, estimates and projections, as well as managements beliefs and assumptions. Forward-looking statements are not guarantees of performance and actual operating results may be affected by a variety of factors. For a list of those factors, please refer to the risks listed in the company's most recent 10-K filing as updated by our quarterly report on Form 10-Q and subsequent quarters. Additionally, the second quarter results, press release and supplemental presentation contain additional financial measures such as NOI, FFO, core FFO, adjusted FFO and EBITDA, which are all non-GAAP financial measures. As such, we've provided a reconciliation to those measures in accordance with Regulation G and Item 10(e) of Regulation S-K. Our speakers this morning are Michael Gamzon, INDUS' CEO, who will cover recent activity, market conditions and updates in our pipeline, followed by John Clark, our CFO, who will cover the second quarter results in detail. After the prepared remarks, the line will be opened up for your questions. With that, I'll turn the call over to Michael.
Michael Gamzon: Thank you, Ashley. Good morning, everyone, and thank you for joining us today. We delivered strong results in the second quarter and our business is well positioned for strong external and internal growth into the future. Since the start of the year, we have added over 520,000 square feet, representing more than a 10% increase to our in-service portfolio. And we expect to add another 875,000 square feet over the next six months. Our current portfolio remains well leased and we are actively pre-leasing upcoming deliveries at rents above our underwriting. Our leases have market escalations, which continue to trend up and the portfolio has embedded mark-to-market rents, both of which will support continued internal growth. We are growing our cash flow and delivering strong returns on our investments. Currently, the overall industrial market is experiencing record low vacancies with rental rate strong -- growing strongly across markets. Tenants remain active and overall new supply remains in check due to continuing delays in receipt of approvals, permits and critical construction materials. That said, we recognize that the capital markets have changed since the start of the year and the continued uncertainty regarding economic growth, inflation and other factors could impact the operating environment over the next several quarters. We believe that with the strength of our portfolio and our balance sheet, we are well prepared for any change that may occur. We have strong tenancy with over 75% of our tenants for their parent companies having either more than $500 million in revenues or publicly traded and approximately a third of our tenants are investment grade rated. And I'd add this statistic excludes some large companies that are major tenants for us such as Ford Motor, Tesla and Kuehne + Nagel. Additionally, our rent collection history is excellent and we’ve recorded no bad-debt expense in 2022. We ended the second quarter 99.4% leased and going forward we have a relatively small number of leases rolling over the next two years. Subsequent to the end of the second quarter, we leased the only vacancy of 35,000 square feet that was in the recently completed 102,000 square foot Lehigh Valley warehouse. The lease rate for this space was nearly 30% above the rate we achieved with the adjacent tenant last fall and this resulted in a stabilized yield for the project in more than 50 basis points above what we estimated at the start of this year. Also at the end of July, the short-term tenant at Paragon Way in Charlotte vacated that 217,000 square foot building. This building is moving ready, which makes it well positioned for fast moving requirements, particularly given construction and other delays prevalent throughout the industry. Vacancy in the Charlotte market is 1.6% according to Cushman & Wakefield. And the only competitive space is in a spec building that is expected to deliver in the next couple of months and is located in a different sub-market. We expect upon releasing will meaningfully exceed our initial underwriting and we are encouraged by current prospective tenant discussions. We also are making good progress pre-leasing our upcoming future deliveries. These buildings are well located across a number of markets and we believe our best-in-class assets and strongly performing regions with multiple demand drivers for logistics space. We have fully leased our upcoming 234,000 square feet delivery in Connecticut with the initial tenant in the building taking the rest of the space. The rent for this expansion is 17% above what the tenant is paying for its initial space. We also have executed one lease in our upcoming 195,000 square foot Landstar Logistics delivery in Orlando. With that two building project nearing completion, we are seeing significant tenant activity and RFPs. We also have strong prospects for the remaining vacancy in the 42% leased two-building Nashville acquisition. The buildings are essentially complete and the existing tenant is already operational. The delay in closing that purchase is related to some offsite work that developer needs to complete, which got held up in permitting, documentation and approvals. We expect to close on this acquisition late in the fourth quarter when this last bit of work is completed. The Landstar Logistics project in Orlando will enter our in-place portfolio later this month. And with the Paragon building, this will likely lead to a somewhat lower overall portfolio occupancy rate next quarter that we're hopeful we'll fill those spaces relatively quickly. In terms of upcoming lease expirations, other than Paragon Way, the only lease expiring in 2022 is a 73,000 square feet space occupied by the tenant that is expanding and relocating into the 234,000 square foot building I mentioned earlier that's expected to deliver at the end of September. That tenant expects to overlap in the two buildings for several months. So we do not expect really -- to really get that space back until early next year. In 2023, the largest lease expiration makes up approximately 60% of our total expirations by square footage. That tenant has a renewal notice date at the end of August for a one-year renewal. We are in preliminary discussions with the tenant regarding their intentions, including a possible longer-term renewal, but these conversations remain in the very early stages. And looking at our overall disclosed acquisition and development schedules, we have 1.8 million square feet and approximately $173 million in purchase price and remaining development costs. We expect this combined pipeline to stabilize at a high 5% stabilized yield. I'd also note that for our initial stabilized yields, we use estimates of current cash rents rather than projected or net effective GAAP rents and expected completion. Additionally, these yield assume 95% occupancy factor. As a result, these yields typically understate what we realize upon completion and when a building becomes 100% occupied. We are very pleased with the building purchases we have under agreement. Our estimated stabilized yields on this acquisition pipeline continue to increase as rents push upwards across our markets. For example, based on our current preliminary tenant discussions for the Charleston Forward Acquisition, our initial stabilized yield will be more than 60 basis points above what we estimated at the start of this year. Turning to developments, in addition to deliveries I already mentioned, in the Lehigh Valley we are underway on our 206,000 square feet building. And we expect to close during the third quarter on the land side to support a 91,000 square foot building. The Lehigh Valley market remains very strong with estimated vacancy below 2% and limited new development opportunities, all of which continues to support the strong rent growth I mentioned earlier. For development overall, construction cost remain elevated. There recently these increases have been at a more measured pace. Lead times for certain items like steel have shortened over the past couple of months, but other items such as dock levelers, electrical panels and transformers and HVAC units are being quoted up to a year for delivery. We have learned to plan and manage around these delays. We continue to proactively order materials and build more improvements into our development to make them move in ready upon delivery. Overall, these issues continue to stretch out everyone's delivery pipelines which delays the increase in overall supply into the market. Our development yields remained strong. And as I mentioned before, we are using our best estimate of cost and current cash rents along with the 95% occupancy factor. Right now, the acquisition market is somewhat in a process of price discovery with very few trades making it hard to discern current individual market cap rates. In the markets we closely follow, the future trades that have closed were the deals that are awarded or under agreement to buyers, the cap rates typically have been lower than what we would have predicted. Our acquisition development pipeline will support external growth through next year and well into 2024 and represent 31% growth in our square footage from where we stood at the end of the 2022 Second Quarter. And importantly in the current environment, we have all the capital we need to fund these future developments and acquisitions, utilizing the cash in our balance sheet and available future draws on our term loan. Also note that some of the spending extends out well into next year and even into 2024 providing us some flexibility with the timing of these capital needs. We have a history of making strategic investments in periods of uncertainty and remain very targeted in our pursuits. One particular area in which we continue to focus is on land for development. As good industrial sites remain very hard to find, the entitlement process can take nine months to 18 months or longer and typically we do not purchase the land until these entitlements are completed. We feel we have the financial flexibility to continue to pursue select opportunities, while maintaining conservative leverage ratios by using the capital on our balance sheet, undrawn lines of credit and asset recycling, including the continued pursuit of selling non-core land holdings. Lastly, I want to highlight a few of our sustainability initiatives. We recently received approval to install solar arrays on top of two of our Connecticut warehouses. These rooftop solar installations will generate just under one megawatt of electricity and the first of what we hope will be several solar opportunities across our portfolio. We are also rolling out an LED lighting upgrade opportunity for our tenants. As of the end of last year, we already had energy efficient lighting in 100% of our portfolio with approximately 50% penetration of LED, but our goal is to convert the entire portfolio to LED in the future. Lastly, we are recognized as a Green Lease Leader, which reflects our team's efforts to incorporate energy efficiency and sustainability into our leasing practices. I'll conclude with thanking the INDUS team for their continued hard work and exceptional performance. We take great pride in our very low employee turnover and the long tenure of our staff. It is through their efforts that we achieve our results and are in a strong position for future success. With that, I'll turn it over to Jon for the financial review.
Jon Clark: Thanks, Michael. Starting with the strong headline figures we produced. Core FFO for the 2022 second quarter was $5 million, that's a 70% increase over the comparable quarter of the prior year and up 25% from the first quarter of this year. Core FFO benefited the most from growth in NOI. NOI was $9.2 million for the second quarter, up 31% from the prior year's second quarter. Growth was driven principally by the impact of acquisitions during 2021, the addition of the Charlotte Build-to-Suit placed in service in October of last year and the acquisition of Paragon Way in Charlotte, as well as increased occupancy in the value-add acquisitions and previously delivered spec development. As Michael noted, as of June 30 our occupancy is 99.4% and our total in-service portfolio and 100% in our stabilized portfolio. As of today, we'd be at approximately 96.2% leased when including the lease signed in the Lehigh Valley and the vacancy at the Charlotte building that Michael discussed. AFFO for the second quarter was $4.1 million compared to $2.7 million for the second quarter of 2021. Maintenance capital expenditures increased by 180,000 this quarter versus the prior period, reflecting the balance of a roof replacement project we discussed last quarter on the earnings call. We expect about $800,000 in maintenance CapEx spread over the next two quarters. We expect second generation leasing costs to be about $450,000 over the next two quarters, based on leases already signed and those expected to be signed before year-end. Just as a reminder, the financial metrics we've discuss today exclude the office-flex portfolio, which is recorded as a discontinued operation. The change in the capital markets and economic uncertainty has somewhat impacted that sale process, but we continue to be in discussion with several potential buyers and remain hopeful that we will complete the sale sometime later this year. Cash, same-property NOI for the 2022 second quarter was up 11.3% versus the comparable 2021 period. Cash same-property NOI benefited most from the commencement of leases on previously vacant first generation space, the burn off of free rent on existing space in the portfolio as well as from standard lease escalations, which currently average around 3%. But I would note that new leases continue to achieve escalations above that and typically are achieving 3.5% to 4%. Our same property portfolio is 100% leased and we have limited upcoming expirations, as Michael noted earlier, which likely impacts some of the near-term same-property NOI growth. However, in future years, same property NOI will benefit from the mark-to-market rents in our portfolio, which we currently estimate at 25% on a cash basis and 31% on a GAAP basis. We expect this mark-to-market to continue to increase due to upward pressure on rents and the quality of our portfolio. Wrapping up just a few things on the income statement, interest expense was about $200,000 for the second quarter. This is net of a $1.2 million -- this is net of $1.2 million received by the company in relation to termination of interest rate hedges on mortgages paid off during the quarter. It also includes about $0.5 million of capitalized interest this quarter due to an increase in the company's development pipeline in the second quarter. General and administrative expenses were $2.4 million in the quarter, down from $2.7 million in the comparable prior year period. The decrease was primarily related to a decline in the performance of the non-qualified deferred compensation plan as compared to the prior year period. I'll next just turn quickly to the balance sheet. Our liquidity at the end of the second quarter was $266.7 million and that reflects $76.7 million in cash, $90 million of available draws on the delayed-draw term loan and $100 million of borrowing capacity on the revolving credit facility. We expect to draw a portion of the term loan in the fourth quarter and the balance will be drawn in the first half of 2023. As Michael mentioned, with the draws on the term loan and our existing cash, we have the capital we need to fund our disclosed acquisition and development pipeline. With the term loan fully drawn, we will expect to have a conservative debt to enterprise value and retain good financial flexibility. Additionally, in light of the current short-term interest rate trends and given our current cash balances, we may opt to repay the $26 million floating rate construction loan sometime this year. When repaid, this will effectively have no debt maturing before 2027, and we would have no floating rate debt outstanding. This quarter's release we provided some additional earnings guidance information for the third quarter and for the full year. Please note, that these assumptions only include what is identified in our acquisition and development pipeline schedules. For the full year, we raised the low end of our guidance estimate from -- to $36.5 million to $38 million, which is up from guidance provided last quarter of $35 million to $38 million. This forecast includes the positive impact to NOI from the Florida portfolio acquisition that closed in the second quarter, but also considers the impact in the delay of deliveries from our development and acquisition pipelines, as compared to what we assumed in the beginning year of the budget. Additionally, this reflects stronger rents and renewals and new leases based on what we have been achieving in lease discussions. Both our current and prior guidance range for NOI from continuing operations includes a $365,000 lease termination fee that will be recorded in the third quarter and will impact the full-year results. We entered into this termination with an existing tenant only after we had secured a replacement tenant and after the existing tenant expressed interest in vacating early in order to combine its operations at a different site. Moving on to G&A, we estimate G&A for the year to be between $11.4 million and $12.2 million. This is lower than our previous guidance as it reflects the benefit from the non-cash mark-to-market on our non-qualified deferred compensation plan, which lowered our reported G&A. The revised G&A guidance assumes this plan has no impact on our G&A forecast for the second half of the year. Also included in our G&A forecast for the year is about $1.5 million of non-cash stock compensation expense. Finally, for the full-year guidance, we estimate interest expense of about $5.5 million to $5.7 million. Again, this is impacted by the actuals for second quarter, which was net of a one-time gain on terminated swaps. The full year interest guidance assumes a second draw on the term loan during the fourth quarter of $30 million to fund our acquisition pipeline and development spend. Interest expense guidance is also impacted by the anticipated decrease in capitalized interest each quarter for the balance of the year based on developments reaching completion. This interest expense does not include any impacts from the potential pay down on the construction loan that I mentioned earlier. For the 2022 third quarter, we estimate NOI from continuing ops of between $9.1 million and $9.6 million, which include the benefit from the early termination fee that I touched on for the full year guidance. We estimate G&A, excluding the mark-to-market charges on the non-qualified deferred comp plan will be about $3 million to $3.4 million in the third quarter. And we estimate interest expense will be between $1.6 million and $1.8 million for the third quarter. As discussed, for the full year, interest expense guidance assumes lower levels of capitalized interest, as compared to what was reported in the second quarter due to fewer projects under development. With that, I'll turn it back over to Michael.
Michael Gamzon: Thank you, John. I want to thank those of you on today's call and all of our stockholders for their continued support. Our business is performing well and we are optimistic that we will continue to grow our cash flow, net asset value and most importantly shareholder value. That concludes our prepared remarks and I'll turn it back over to MJ to take your questions.
Operator: Thank you, Michael. We will now begin the question-and-answer session. [Operator Instructions] Our first question today comes from Tom Catherwood of BTIG. Please go ahead.
Tom Catherwood: Thanks and good morning everyone. Michael, I appreciate the comments both talking about how you recognize the capital markets have changed since the beginning of the year, and then also how -- I think a more targeted strategy really focusing on land. Can -- so it sounds like you have one of the de-prioritized, maybe stabilized or value-add acquisitions from here. Is that a fair assessment given your commentary?
Michael Gamzon: I don't know if I go and say that exactly. I think we always have looked at both, as you know, we've done a lot of acquisitions, but historically we have done even more on the development side. I think what we're getting at is just simply at the moment there is, obviously, some questions about where cap rates are or where they may be heading? And that's just created some uncertainty as to acquisition values. But more importantly, we're just not seeing a lot out there or available at the moment. But what we continue to push on are land sites. As I mentioned, industrial land sites are really hard to find and there's chances or you just made or find good ones in certain markets you're looking at versus we feel with buildings -- over time buildings come up for sale and get resold once the land site is bought and developed on, it's no longer a land site. So I wouldn't say we're not looking at acquisitions. I just think at the moment, we think there is a good opportunity to continue to push forward on land, build that pipeline up for ourselves where we'd really be putting the significant amount of capital to work down the road, where if we're finding a land site today going through entitlements and approvals. We're not looking to actually close on the land for 12 to 18 months and then commence construction and we can control that timeline. But we're still opportunistically looking at acquisitions, obviously, being a little bit more conservative in assumptions and everything else, but there are opportunities out there. We've looked at a few, and we're going to continue to look at them as they come available or solicit ones off market that we think could be particularly interesting.
Tom Catherwood: I appreciate that. Kind of sticking with your comment on acquiring land, I think it's usually under an option structure. You mentioned that nine months to 18 months to get it entitled and that you don't close until you receive those entitlements. Does that limit somewhat your pool of opportunities as you're looking at land, just because the person that selling it has to hold it for that period of time, there is obviously added risk or just, again, given the size of the company, is it not a material reduction of that opportunity set?
Michael Gamzon: Yeah, I don't think it's a large reduction. There are certain situations we've been involved in or looked at land where certain sellers insisted on much shorter time frames and not waiting for entitlements. In those cases, we'll assess what we think are the risk of getting approvals and entitlements. And it really depends on markets' status of the land, are there wetlands on it? Does it require Army Corp permits? Things that are much further kind of out of our control and longer lead time versus others. So not to super generalize, but for example in the Lehigh Valley, where there is a lot of conditional use in special exceptions just to go through to entitle land and can be quite challenging. And that would be one we'd be very hesitant to do anything other than until we got full approvals. For example, in other markets where if something is by right zoning, there aren't any wetlands or other concerns like that. It may be something we consider a shorter period. So it's not a hard and fast, but it's typically we see to get all the entitlements and most sellers recognize that that's what most buyers require and occasionally we'll lose a site, but we don't think it significant limits what we look at.
Tom Catherwood: Got it. Kind of I'm sticking with developments, the one 10 trade board now kind of fully leased up with the deal you did this quarter, what are the thoughts on maybe going spec on another development there, just given the success in the pre-leasing on that project?
Michael Gamzon: Yeah, that's something we always can continue to consider and evaluate, as you know, we have a couple of other entitled land sites in that market, one, that's adjacent to our main park in Connecticut that can support another about 250,000 square feet building. So we haven't announced anything immediately, but the Connecticut market has been doing really, really well. A significant amount of it's due to interest on the developer side, but also we're seeing lots of interest from occupiers currently outside of Hartford. There is lows and wafer both filled a 1.2 million square feet facilities. There's other big occupiers looking for things. The market has been really good and strong, which is really encouraging. We're doing well with our tenancy and our rent growth and leasing as we discussed and we just think it's a really good market and could be something we do going forward. I mean, as you know our land basis is really attractive given we inherited this land in our company. So the incremental cash earns a really tremendous return when we put into building and leasing stabilizes it. So it's something we think about. Nothing we've announced or scheduled at the moment, but we think those opportunities are out there.
Tom Catherwood: Appreciate that. Thank you, Michael. And then one last one for me, Jon, on the balance sheet. With the delayed-draw term loan, can you walk us through your thoughts on paying off the fixed-rate mortgages with the first $60 million draw there? A lot of those mortgages didn't come due for a number of years. It looks like the rate was pretty much on par with the term loan? Is this just a general move towards unencumbering more assets to go to more of an unsecured type borrowing strategy in the future or potentially down the road looking towards some sort of an investment grade rating? Or is there something else driving off the pay-off of those assets.
Jon Clark: No, you're absolutely correct. Those four mortgages essentially were on par with the interest rate on the delayed-draw term loan. Delayed-draw term loan averages about 4.1% to 5%, and I think the average of those mortgages was around 4.13%. This was all about freeing up the collateral. There were over 10 buildings that was encumbered by those four mortgages, so we freed up a lot of collateral to basically build up a unencumbered borrowing base. That and these four mortgages could be extinguished for no costs and the only cost could have been swap breakage, but on the days that we broke it, we actually had cash loss.
Tom Catherwood: Got it. That's it from me. Thanks everyone.
Michael Gamzon: Thanks Tom.
Operator: Next question comes from Dave Rodgers with Baird. Please go ahead.
Dave Rodgers: Yeah. Good morning. Michael, I wanted to ask you about your discussions with tenants. Obviously, with the 100% occupancy in the same-store pool. You've got a little bit of an upper hand. But I'm just kind of curious on if your tenants are starting to reflect any of the uncertainty or concern that you mentioned that you're seeing in the investment sales market anything to read through in the discussions about renewals, et cetera?
Michael Gamzon: Yeah, no, it's -- as others have commented, it's sort of this tale of two cities between the capital markets and then leasing activity on the ground. Leasing activity remains really strong. There is very limited options for tenants in pretty much all our markets. So really rent growth continues to be really strong, tenants are not kind of wavering or pushing hard back on escalations rent growth or other things. They typically just continue to need more space and not have a lot of options. So we're not seeing hesitancy or concerns or anything else yet with tenants. I mean we read the news, I'm sure our tenants read the news or have -- see how they plan their business. So at some point that may change, but what we're seeing from our tenants, hearing from our tenants seen in our negotiations is not really any retrenchment of the strength in the kind of landlord friendly market we've been having for the last couple of quarters, so that all seems really positive.
Dave Rodgers: Appreciate the color on that. And then, maybe turning again to your investment strategy. And I know the markets and price discovery and you answered Tom's questions well, but I guess I'm curious if you're out there kind of making a large number of unsolicited bids, if you're taking advantage may be of the lack of liquidity to try to step in and buy product, given that you're highly liquid today, under-levered and fully occupied, how aggressive are you guys being in terms of stepping out and trying to find these next round of opportunities, maybe particularly on existing assets versus land and really kind of stepping in?
Michael Gamzon: Yeah. So we are looking. I think the challenge is, I think is kind of the norm what you hear in any market, not just real estate. Sellers' expectations always lag kind of where buyers see things. And so, we look at opportunities, but as I commented, even the things we see that are trading the few ones that do get treated are get awarded, typically the price it has been higher, cap rates are lower than kind of we would have anticipated if so, and said, what do you think this is going to trade for in today's market. And these are things we looked at seriously or things we just were following. So we are looking, but I'd say there aren't tons of great opportunities out there that we found that we just say, let's write the check and buy this at this price because it -- we just don't think the pricing has corrected a lot, but, obviously, if we see something that we think has really good rent growth potential, whether it's an existing mark-to-market that’s significant or just a really unique location or asset. We certainly would be -- are looking at it and trying to buy it. But the reality is, sellers are being very particular. The brokers seem to say that they think as you get through into September and beyond, there'll be more things in the market. And sellers will sort of think adjust to the new normal. But at the moment, it's actually just hard to get sellers to agree to a price that any different than what they were sold it for six months ago.
Dave Rodgers: And last from me, as you have been, that's kind of a take out for some of these developers. If you think about even earlier and earlier construction loan costs going up quite a bit from what we hear, are you seeing some of those existing relationships or new relationships just approach you more to say, hey, can you finance it from the very beginning and get us started. I mean, that might take a couple of quarters, but are they reaching out or do you not feel like even some of the developers are feeling any of the pressure of the current environment?
Michael Gamzon: Yeah. I think it's a mix on the developers, I think some of the ones we know -- some of the larger ones still remain pretty active. What they say is they become more selective in their projects, kind of this forward market has gotten pretty quiet. So to your point, I think there are opportunities for project that if we think it's a really good build -- potential build in a great location and a great site plan of the developers come up with. That does provide an opportunity if we're willing to fund that given our capital situation that we could fund that and deer to have a build in what we think so really strong yield, and as we see, the advantage of that structure is we kind of get the construction at a fixed price. The reality is, we haven't seen a lot of that yet, but it's something we are -- we've thought about as well. So I think it's an opportunity that's out there.
Dave Rodgers: Thanks, Michael.
Michael Gamzon: Thanks, Dave.
Operator: The next question comes from Craig Mailman of Citi. Please go ahead.
Craig Mailman: Good morning. Just wanted to go back to the commentary about the yields on some of your assets on the contract kind of rising 60 bps year end, rents continue to rise, but I'm just curious, is your cost of capital has increased in the debt and equity side? How is the investment spread trended even with the higher rents?
Michael Gamzon: Yes. So we, obviously, there is debt capital, which is as Jon talked about we've kind of fixed at about 4.1$, 5% on the incremental borrowings on the term loan, which kind of really hasn't moved from really where our debt's been for the last couple of years. Equity capital, obviously, where stocks lower arguably the equity capital is little more expensive. But as we said, our yields have gone up we think as much or more. So we think our spreads remain solid and pretty consistent to where we thought they were a while ago. Yeah. We are hoping, certainly our equity capital cost don't continue to go up, but we do expect, as I mentioned or believe that the yields on our -- potential acquisitions continue to have room to run. I think as I pointed out, several of these, as you know, don't deliver until mid of next year, so that gives another 12 months. If rents continue to grow, we'll benefit from that on those aspects and particularly on the acquisitions where we don't have any construction cost -- increase in construction cost of risk. Conversely, if construction costs having to go down, we don't benefit either, but we do see upside if rent goes up, and two, if we fully stabilize these properties as opposed to 95%, that also adds to the yield that's not what we've kind show as a convention we show the 95%. So we think we have really good returns. And I think the second piece of it all is not just where the initial returns are, but where do we think they're going to go over time. And we think about things on a five year and a 10-year basis. And if we think we have really good assets and the initial yield is a certain number, we're hoping in five year and 10-years as rents continue to grow and the assets increase in value, that we will get a better and better return. And even a simple analysis is the Lehigh Valley building I mentioned. That building we just delivered and the tenant that's in two-thirds of the building is paying 30% less than the other tenant we just put in. So that's already a pretty significant mark-to-market in that building already. And so, we think there just lots of ways to continue to create value and drive returns that are well in excess of our cost to capital.
Craig Mailman: Okay. As you said you're insulated from construction cost increases. So, you guys don't share any of that risk with the developer?
Michael Gamzon: On the acquisitions of forward -- the forward acquisition of buildings, correct, those are fixed price purchases. So whatever purchase price we have listed in our supplement, in our table, that's the final purchase price. The developer had to absorb any cost -- any cost increases or benefit from any cost decreases.
Craig Mailman: Are you getting a sense of whether the developer is seeing decreasing margins you can say of either timing delays or input cost increases? I'm just kind of curious from that developer standpoint. There is less product in the market, their rent squeezes are going to be less likely with the new projects so that even limits the amount of product you guys could see with existing relationships. I'm just kind of curious on their side if you've heard anything anecdotal about these individual projects and the kind of the costs associated with them?
Michael Gamzon: Yeah. I think without going into specific projects just because it's obviously discussion with our developer. I think certain of them the costs are probably higher than what they initially budgeted and scheduled for these projects. Presumably, they've built in enough profit margin over what they did, but either way, it sort of contractual obligation. So we think they have enough profit margin built in and highly confident all these projects are underway -- they're all underway and under construction with contract. So I think they probably gotten squeezed to maybe a couple of these margins. I don't think we've seen -- since that point, I don't think things have come down in pricing. Pricing continues to move up a little bit, but in a much more, as I said, kind of controlled piece from what we saw, say, starting a year and half ago with, for example, steel, pretty much tripling in cost. So the developers still are doing, we think fine on these projects, probably less well than they thought. Just like, on our own developments we've had cost increases that are on development. We've benefited from the rent growth that we're going to see on those projects. In this case developers agreed to sell it at a fixed price. And I think it's interesting because speaking to some of the developers, I think six months ago, a lot of them were probably a little less happy. They done forwards and other things and committed because of the strong rent growth and they felt that underprice their deals. I think talked to some today. They're happy that they entered into forward contracts and aren't doing it on spec because of some more uncertainty, as you said, increases in -- mentioned the increases in construction lending, for example. So I think overall they continue to move forward on projects and I think ultimately those strike deals makes sense for them.
Craig Mailman: Okay. And then as you guys are looking for more land opportunities to kind of back development pipeline from a risk mitigation standpoint kind of what's the internal process of the amount of development that you won't going at once, given the smaller size of the portfolio. I'm just kind of curious if you guys have put internal in some things.
Michael Gamzon: Yeah, I mean I think it's -- I want to -- because we're -- to your point, we're not so big that we really can look at things pretty granularly and project-by-project and market-by-market and roll it up to see what's our capital, what do we think a prudent amount to have, what's the different delivery schedules and what're we doing across markets. So I can say, we have a firm cap that it's X million or X amount a square footage, but something we intently focused on is kind of every building, how does it fit within our own delivery schedule? How does it fit within our own capital schedule vis-a-vis acquisitions? And also what do we see across markets in terms of what are other people developing and delivering and what's the timing and how does that impact us? So we're very cognizant of it and that's sort of the reason we like development, particularly in fine sites that are multiple building that we've done in the past because we obviously can control phasing in building-after-building and kind of manage that as well. So it's something we're very cognizant of, especially going into a little more uncertain environment. Currently, we're finishing up a series of developments. And once those finished in the next couple of months, the other one we have underway is the one I mentioned, the 200,000 foot building in Lehigh Valley. So we think that combined with our filler purchases across the different markets, we feel really comfortable with and as we entitle more land and have it ready to put in production. We're going to evaluate whether we go full vertical on that are not based on market conditions, based on our outlook for that market and for that building and that type.
Craig Mailman: Great. Thank you.
Operator: The next question comes from Connor Siversky of Berenberg. Please go ahead.
Connor Siversky: Good morning out there. Thanks for having me on the call. Just one quick housekeeping question. Michael had mentioned in the prepared remarks to expect an increase in vacancy as you grow through the end of the year. Is this just, call it, 171,000 square feet north in Orlando and 105,000 square feet in Nashville, or is there anything else baked into that expectation there?
Michael Gamzon: The only thing we mentioned was the Charlotte building where the tenant was in occupancy through the end of July and has vacated. As I mentioned, we feel -- we've had some preliminary tenant discussions we feel good about, but there is no lease to report there. So that potentially could be a vacancy as well.
Connor Siversky: Okay. And then for the Nashville acquisition under contract for the Orlando development, can you provide any update on expectation for what the leasing schedule should look like or what rates could look like?
Michael Gamzon: See, I don't think we've really given out specifically there. I think on Nashville, I think what I just mentioned was, we feel -- we've had good tenant discussions, we actually have preliminary leases out for that second building. In terms of hitting our vacancy, we're likely not closing on that acquisition till towards the end of the year. So that's one that probably wouldn't hit the third quarter anyway, and we're hoping by the time we close on it, then we will actually have leases in place for the entire -- the two buildings. So we feel -- certainly trends are good there and activity remains strong in that market and making progress there. In Orlando, again, we think it's -- we're seeing lots of RFP activity, lots of tenant inquiries. We've some LOIs that are pretty far along for a series of spaces in those buildings. We typically underwrite 12 months to lease up a building upon delivery. When we do two buildings like in Orlando, similar to how we did in the Charlotte market a couple of years ago, we typically see more like 18 months just because it's two buildings right next to each other. We certainly hope to outperform that underwriting. Certainly, the market has been really strong, tenant activity remains well. On Florida on that building -- on those two buildings, we're seeing really good rent versus what we have expected. That was land we put under agreement right at this kind of early days of COVID in May of 2020. I think our initial underwriting sort of on that site was in the low-sixes. What we're seeing today are rents kind of at $8 plus for that building. So we think that's going really well. That market remains really strong, brokers in Orlando as well in several other markets comment that it's busy as it's ever been. Again, that could change as things change in the future, but at the moment that's going along we think really well.
Connor Siversky: Okay. That's all from me. Appreciate the color.
Michael Gamzon: Thanks Connor.
Operator: The next question comes from Mitch Germain of JMP Securities. Please go ahead.
Mitch Germain: Thanks for taking my question. Michael, I'm curious about deploying capital going forward. Is the goal to build scale in your existing market footprint or are you still looking at some new markets as a place to park some capital?
Michael Gamzon: Yeah. It's really both. We're hopefully going to be in about seven markets sort of between the forward acquisitions we have in our existing portfolio. And as I said our goal is really to grow in all the markets we're in, continue to further penetrate into those markets. We sort of set a goal of we're not going to enter market unless we can get to at least a million square feet over time. So we're below scale, call it, our version of scale in several of these markets. So we continue to look in those markets as well as Lehigh Valley, where we have some developments in the pipeline in all our existing markets. But that said, we continue to look at a select group of other markets, where we really like the opportunity. So if we can find the right repurchase, we'll do it. I think we've talked in the past that we've looked at other East Coast port markets something like Savannah, other markets in Florida. We did acquire a couple of buildings in South Florida earlier this year, one of our acquisitions person is actually relocating to Florida in the next month. So we're going to be -- continue to be active across the state there, as well as other markets. So it's really going to continue to be both. We think there is opportunities, but the goal is really not to be in 20 markets in the next several years, but maybe add one or two more, but continue to grow in all of them as we scale the business.
Mitch Germain: That's it for me. Thank you.
Michael Gamzon: Great. Thanks, Mitch.
Operator: With no more questions, this concludes INDUS Realty Trust's 2022 second quarter earnings call. Thank you for joining us and enjoy your week.